Operator: Thank you for standing by, and welcome to the Ternium Second Quarter Conference Call. I will now hand today's call over to Sebastian Marti. Please, go ahead.
Sebastian Marti: Good morning and thank you for joining us today. My name is Sebastian Marti and I'm Ternium's Global Investor Relations and Compliance Senior Director. Ternium released yesterday its financial results for the second quarter and first half of 2022. This call is complementary to that presentation. Joining me today are Ternium's Chief Executive Officer, Maximo Vedoya; and the company's Chief Financial Officer, Pablo Brizzio, who will discuss Ternium's business environment and performance. At the conclusion of our prepared remarks, there will be a Q&A session. Before we begin, I would like to remind you that this conference call contains forward-looking information and that actual results may vary from those expressed or implied. Factors that could affect results are contained in our filings with the Securities and Exchange Commission and on page two in today's webcast presentation. You will also find any reference to non-IFRS financial measures reconciled to the most directly comparable IFRS measures in the press release issued yesterday. With that, I'll turn the call over to Mr. Vedoya.
Maximo Vedoya: Thank you, Sebastian. Good morning, everyone, and thank you very much for your participation today in our conference call. Ternium reported strong results for the second quarter with $1.2 billion adjusted EBITDA and a margin of more than $400 per ton. Hello? I do know if everybody is hearing? Sorry, I will continue. [indiscernible] with a margin of more than $400 per ton. These results were similar to those obtained in the first quarter of the year, representing a solid start for 2022. Okay. Over the past 12 months, Ternium's solid competitive position and the outstanding effort of its people enable it to take advantage of our very attractive business conditions. In this period, we generated $5.8 billion of adjusted EBITDA, $1.9 billion of free cash flow and returned to shareholders over $500 million in dividend payments. Looking ahead, we expect increased volatility in the business environment. In the first quarter, Russia’s invasion of Ukraine caused an upsurge in raw material and steel prices. As over the last few months, higher energy cost, inflationary pressures, a consequence monetary tightening and the effect on global supply chains of China's COVID-19 restrictions, drug, raw material and steel prices to a significant decrease. Looking ahead, I believe the main steel business variables are today closer to more sustainable level. So we could see a stabilization during the next couple of months. Having said this, volatility will persist for some time, as there continues to be a considerable level of uncertainty related to the factors I’ve just mentioned. Let's turn now to a review of our main markets. In Mexico, the industrial market remains relatively healthy, with different dynamics in the different industries. The auto industry continued to suffer from supply chain disruptions affecting the availability of semiconductors and other inputs for its production process. We have been expecting these disruptions to decrease for several quarters already, but they seem to be harder to solve that what most people expected. And recent China’s lockdowns continue to affect these global supply chains. On the other hand, there is significant unsatisfied end user demand in this industry. So when these procurement problems are finally worked through, there will be an opportunity for us to increase shipments to OEMs. In addition, we have been making progress with product certification in our new hot rolling mill in Pesquería, something that will enable us to gain market share in this sector. Other manufacturing industries like HVAC and electrical motors are doing well. On the other hand, the white goods industry is slowing down production rates as a result of a regulation of end product inventory in the value chain. Finally, the commercial market in Mexico, mostly driven by construction activity is currently having weak apparent demand due to a destocking process resulting from the decrease in steel prices over the last few months as well as the impact on end customers of higher interest rate and inflation. Looking forward, the low level of inventories in the market is going to need a restocking that will probably happen during the second half. Moving now to Argentina. Steel demand in the market remains at similar levels to those of the last few quarters despite higher level of volatility in the country's macroeconomic environment. Most of the sector in Argentina continue to show good demand like agribusiness sector, the auto industry, the white goods industry and the energy sector. But the uncertainty regarding the countries macro situation has increased since our last conference call. So still the further on may reflect substantial macroeconomic volatility. I would like now to share -- our progress on some sustainability topics. Last quarter, Ternium released its annual sustainability report. In this new addition, we reinforce our reporting framework by adding SASB standards for iron and steel producers and also the recommendations of TCFD. We believe this is a step forward in the sustainability disclosure of our company, in line with current discussions on the matter. We have also been working on improving the tools we use for the management of CO2 emissions in our company. Recently, we completed the assessment of Ternium's greenhouse, green gases emission under the GAG Protocol accounting standards. This is complementary to reporting of CO2 emissions and the World Steel methodology, which have been carried out over the last few years. With the application of the GHG Protocol standards, we are tending the assessment boundaries to the whole company. This methodology also provides an enhanced emissions management capabilities down to each production line. It is important to note that we have also performed for the first time a third-party verifications of Ternium emission metrics. Another relevant topic for Ternium is safety. A few weeks ago, we had our annual safety day event with the participation of employees and managers from all the countries where we operate. It is an opportunity to share the results of safety programs in place, our best practices around the organization and future actions plans. Safety is a key issue in the company's agenda, and we are encouraged by the results we are getting so far. As our lost time injury frequency rate during the first half of the year has been the lowest ever. Wrapping up, we expect to keep showing healthy shipments over the following quarters. On the other hand, the normalization of steel business variables will bring a decrease of margin to more sustainable levels. I am positive Ternium is well positioned to show distinctive probability once steel business variables stabilize and all recent changes to steel prices and raw material cost goes through our books. The strength of Ternium balance sheet and our enhanced competitive position with Ternium to navigate the expected volatility in the market. Further on, we anticipate cash generation will remain robust, as we should gradually release a good share of the working capital investment made when input costs and steel prices were significantly higher than they currently are. Okay. With that, I stop here and ask a Pablo to go ahead with the review of our quarter's performance.
Pablo Brizzio: Thanks, Maximo, and thanks everybody for participating in our call. As we will see in today's webcast presentation, Ternium continues showing very strong results in the second quarter of the year, similar to those – recurring the first quarter. Let start by looking at page 3 in the presentation, with adjusted EBITDA and net earnings Ternium EBITDA in the second quarter was at $1.2 billion on margins of 28% or $414 per ton. We expect lower margin going forward, but they start to reflect the significant decrease in steel benchmark prices over the last here months. Although, market prices for raw material has also been decreasing lately, we expect cost per ton to increase in the third quarter as the company will consume raw material purchase in previous months at higher costs. Net income in the period reached $936 million, or $4.07 per ADS, solid by historical standards, reflecting the strong operating performance. Let's turn now to page 4 to review steel shipments. In Mexico, volumes were 1.7 million tons in the second quarter of the year, increased sequentially and slightly below the level achieved in the prior year second quarter. In the Ternium region, shipments in the second quarter were 600,000 tons, slightly higher sequentially and down on a year-over-year basis. In the other market region, shipments were 376,000 tonnes in the second quarter, lower sequentially. On a year-over-year basis, the increase in the volume of slabs sheet to third parties was mostly offset by higher finished steel shipments in Ternium market in the region. Ternium been gradually increasing the integration of this slab facility in Brazil, which is finishing facilities mainly Mexico and Argentina, as you can see in the top right cart in light gray. In the next page, number 5, you can see that combining this development, we arrive at consolidated steel shipment of 3 million tons in the second quarter, stable sequentially and a little down versus the prior year second quarter. Looking forward into the third quarter, we anticipate shipments to remain relatively stable. Moving on to steel prices, revenue per ton in the second quarter increased slightly sequentially and are growing substantially on a year-over-year basis. As I mentioned earlier, we anticipate a decrease in steel prices in the third quarter as steel prices have decreased significantly, and this will be gradually reflected by the large set of contract prices in Mexico. Let's now review on Page 6, the main drivers behind the changes in adjusted EBITDA and net income. There was a slight sequential increase in adjusted EBITDA in the second quarter, reflecting higher realized steel prices in Mexico and Argentina, partially offset by higher costs. Labor costs increased in the second quarter, mainly in connection with Ternium Mexico employee profit sharing. This together would increase in energy cost was partially offset by lower purchase slab cost. Let me remind you that we use [indiscernible] accounting to value our inventories. So it takes up to five months to reflect in our financial changes in slab and raw material prices. Looking forward, Ternium expect adjusted EBITDA to decrease sequentially in the third quarter, reflecting lower margins and relatively stable shipments. In [indiscernible] at the bottom show a sequential increase in the second quarter, mainly driven by better financial results. This improvement primarily reflected a higher value of financial instruments while income tax increased sequentially as a result of slightly better results and a higher effective tax rate. Let's turn now to Page 7. There was no cash from operations generated in the second quarter, mainly as a result of a working capital increase of $681 million and income tax cash payments of over $600 million. Tax payment in the period includes an increase in advanced payments for fiscal year 2022 in Mexico and the payment of the outstanding tax balance for fiscal year 2021 in Argentina both as a result of strong earnings record in 2021. The increase in working capital includes a significant impact on inventory values of higher steel and raw material costs as well as slightly higher volumes. Free cash flow in the second quarter of 2022 was a negative $166 million after CapEx of $161 million. This, together with the $353 million dividend paid in May resulted in a reduction of Ternium's cash position to $1 billion by the end of June. Now the final Slide number 8, let's review our cash flow performance on a yearly basis. Cash from operations in the first half of this year was $687 million, after deducting income tax payment of $1.5 billion and working capital increase of $350 million. Looking forward to the second half of the year, our expectation is that Ternium will show healthy cash generation based on the CapEx estimate for the year of approximately $600 million, a decrease in income tax payments compared to loss of the first half and a reduction in working capital and the price deflation of steel and raw material flow through Ternium Brazil. Okay. With this, we finish our prepared remarks. Thank you very much again for your time and attention. And now we are ready for your questions. Please, operator, proceed with Q&A session.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Timna Tanners with Wolfe Research.
Timna Tanners: Yes. Hey, good morning, everyone.
Maximo Vedoya: Good morning, Timna.
Timna Tanners: Wanted to ask on volumes a few questions, if I could. First one was just looking at the volumes down year-over-year in Mexico, still bags a question of where the Pesqueria volumes are showing up or if it's just offsetting existing tonnage? And should we expect that to continue to ramp up as you get qualified in any time frame there? The other question is just on the EBITDA guidance of a more sustainable level. I was hoping to see if you could help quantify that a little bit better. If we look at the five years prior to COVID, the average has been about $150 a ton. But of course, the last couple of years has been close to $400 a ton. So any thoughts on the gap between those two levels would be helpful? Thank you.
Maximo Vedoya: Okay. Thank you Timna. Volumes of Pesqueria, Pesqueria is running at between 80% and 85% of capacity, which is very high -- and to be honest, very -- running very good. But as I think I mentioned in the last conference call, the problem are the market in Mexico, especially in the commercial market, where we have a decrease in apparent demand because of what we are talking. So the issue with the volumes is that the other hot strip mill, the one in Churubusco, is running lower than what -- with much lower the capacity. The other issue is the certification process of all these new steel takes time and all the automotive certification take at least one year. So we are starting to see now these new products starting to flow through our customers, but this is a process that will take at least one year more ramping up every quarter. So that's the main issue. Regarding EBITDA, your second part of the question, what we do we need with a more sustainable level. I think -- and I would let then Pablo put more color to this. But if you remember, Timna, we have always put that our objective of EBITDA ratio before this last almost two years, let's say, what between 15% and 20%. That was a normal and higher compared to most of our peers. I think this is the outlook we are looking at this range for the third quarter. And probably what we will be doing in the future, especially in the next year is that we will have to increase that objective that we have and put the bar a little bit higher of this range between 15% and 20%. So, this is our -- I know, Pablo, if you want to put more clarification into this.
Pablo Brizzio: Hi. Okay Maximo. You have already answered on the question we have some color to it. So yes, really, what Maximo was saying is what we're expecting, enter into the second part of the year, we are looking or we are expecting, of course, there is the uncertainty that Maximo mentioned in prices, especially, but we should be returning during this period to the levels that we have before the pandemic. But I think it's important also what Maximo mentioned, which is that going forward, we enter into 2023 or if you want, depending on your expectations, well, we have a more normalized level of prices and especially raw materials, the Ternium after all the investment that we did, that the ramp-up of the new Pesqueria facility, we should be targeting margins that are at the upper side of the range, even a little lower that range. So I think that's the main point to pass to you that, clearly, there will be a reduction in margins during the next couple of quarters, and then, we should be returning not only to the normal level that we used to have, but approaching or targeting a little higher one.
Timna Tanners: So the guidance of the higher end of the range would be a function of the investments that Ternium has made in downstream, the vertical integration in Mexico and some of the other company-specific actions. Is that what you're saying?
Pablo Brizzio: Yes, exactly. Exactly, you're right. Of course, taking into consideration the prices of the final product, you never know where it will be, but this is clearly what you have said is clearly what we are looking for and what we are targeting.
Timna Tanners: Great. Thanks. I’ll hand it over. Thanks, again.
Maximo Vedoya: Thank you, Timna.
Operator: Your next question is from the line of Andreas Bokkenheuser with UBS.
Andreas Bokkenheuser: Thank you, very much. Just two quick questions from me. Just looking at the Mexican steel market at the moment, I mean we've obviously seen some new capacity coming online in the US and some of that volume was reported destined for Mexico. Are you starting to see increased import volumes or increased price pressure from some of the volumes that is coming in from the US into Mexico. That's the first question. And maybe the second question, if you could just give us your updated thoughts on potentially expanding within the EAF meal capacity. That would be great. Thank you very much.
Maximo Vedoya: Thank you, Andreas. Yes, Mexican -- the increase in import, we are not seeing it. To be honest, if you see the imports on the Mexican market, and let's talk about flat products, which are the biggest part of the imports in Mexico. There was a huge increase last year between -- I think it was between March, April and October, November, when prices we're going up. And our steel mill, our hot strip mill was not still functioning. And then the prices started to decrease and those volumes come -- I mean, the lead time of imported material are very high. So started -- I mean long of several months of drag of those imports. Today, we are seeing that imports are coming down from that peak. And to be honest, they are a bit lower than what were they were in 2020. So we are not seeing -- I think our market share is going up, and that's at least the numbers we have. So we are not seeing that problem, let's say, in Mexico, at least not yet. But again, we are seeing our customers very eager to buy the material from us and the market share increasing. The second question was, sorry, Andres,
Andreas Bokkenheuser: Just an update on – or your updated thinking on expanding on the EAF or – side?
Maximo Vedoya: Yes. No, I mean, as I told you, last conference call, this is a project -- it's a very complicated project, but we are still doing all the engineering. And we should, I mean, go forward to have USMCA compliance for the automotive industry in 2027 for sure. So we are going to -- I mean, we are still in the process of doing all the engineering and the sites and everything. So still in track.
Andreas Bokkenheuser: Got it. That's very clear. Thank you very much.
Maximo Vedoya: Welcome, Andres
Operator: Your next question is from the line of Alfonso Salazar with Scotiabank.
Alfonso Salazar: Yes. Hello and thank you for taking my questions. I have two. The first one is -- I know that we have been asking this for years now. But if you can comment anything about the -- how can you respond to lower value -- and try to be led behind all the swings that we see in the share price and very related to steel prices. So anything that you can come to what -- having more to recognize in the share price? And the second is regarding the auto industry and some trends that we are seeing today. For example, there is this trend in which OEMs are reducing the menu -- in the menu, affordable cash that are basically disappearing from the menu. And they are focusing more on SUVs premium vehicles. And in that regard, and considering that there are EVs coming and the price that is going to be much higher, it's unclear to see why auto sales will return to past level. And against this backdrop, I want to understand what is the strategy of OEMs increasing the use of high-strength steel and how it compares with aluminum auto parts? Aluminum is gaining more and more -- it's very attractive for OEMs to produce autos in more aluminum. So I just want to understand what is the strategy there? And how do you see this market going forward for Ternium?
Maximo Vedoya: Okay. Hi, Alfonso. Let me take the first question that you made. As you know, we have been discussing this for a long period of time. What we are seeing today, and then we can reflect on the future is that probably taking out some of the US companies, the rest of the steel sector is having clearly a low multiple on reflecting the value of the company. And probably this is a consequence of the readjustment that we marketing on sales we are mentioning during the opening remarks where we are seeing, as Steve mentioned also during third question that, there will be an adjustment on margins to probably a reason closer to what we used to have prior to the pandemic after having a couple of years of very or extremely good margins the company's and since we are still having or reflecting the multiple with an EBITDA that is not yet reflecting that new level. We are seeing multiples that are lower than the historical numbers. So on sales, these multiples should recover at some point, but also, if you look at the share price of Ternium, which I think is your specific question. That's all relatively well in comparison to our TX, and clearly, we have been taking certain actions in the past to try to enhance and to support the value of our company. And this has been very clear, we have discussed also in the past like deriving the dividend payment in two parts or increasing or significantly increasing the dividend payment in relationship to the yield of the payout ratio, which now are quite high in comparison to other companies. We continue to work in our plants. We have – try to perform our operations an in order to reduce or simplify our corporate structure, we have not been able yet successful to do that. But what I'm trying to say is that, we have different alternatives and if we find a way to how that the company value is higher than what we have today, if we are trying to do that. And we are trying to sell the market that not only we care, but we work in that direction. Of course, there are some other things that will be difficult, because we have some past that or characteristics are different from our peers, like the diversity of geographies that we have that will be in some cases, to be a plus, but in some others will be minus. So we have that issue also to take into consideration. But – in general, first, the markets have lead to Ternium endpoint and Ternium will continue to perform and to do the things that we have been doing up to now in order to try to increase our share value.
Maximo Vedoya: Okay. Also, let me take the second part on the auto industry, and it was a very – I mean, there are several things in your question – the first thing to say, I think the OEMs and this is from our knowledge, but again, probably the automotive can speak better. They are putting more luxury on SUV, because of the restrictions they have. And clearly, the preferred selling SUV and luxury car, and more luxury cars that are more – have higher margins than producing the other type of course. But it's more of a restriction, of all these inputs and semiconductors. So they choose to do the higher margin products, because they don't have enough capacity, because of these restrictions. I think that's the model. If you see the automotive markets, total production automotive in the world, I'm saying, but it's similar in every market, it was around 103 million units. That's the total automotive production of the world. Last year, it was a final 78 million units, although the same forecast of them was to do similar and the demand that we see in the market was to do similar 2017. This year it’s 82 million units. Again, this difference is the restrictions and not the demand. I think in the US and in Mexico, you see it also. In Brazil we are seeing it also. There are not inventory in the dealers. There's no inventory. So I think -- that it's, I mean, once these supply chain issues, which as I said in my initial remarks have seen very much harder to show that what we -- everybody thinks, including the OEMs. So that's the first part. Aluminum versus steel, I don't see a big change in that. I mean, if you see the different reports that are out there, probably demand for steel for the automotive industry, it's going to stay stable for the last -- for the next couple of years until the new generation of batteries come forward and then costs will be also the main issue from industry. So demand is – for steel is again going to peak. I think in the long-term, electrical vehicles are going to be produced mostly from steel. That's what we are seeing. I mean, the cost driven or the equation of cost driven, it's very clear there. So I don't see a problem also there, Alfonso. I hope this -- I answered the question, but I don't know if I left something -- not answering Alfonso.
Alfonso Salazar: No. Thank you, Maximo. Yes, [indiscernible]. What I think is that this could be a little bit more structural, the fact that OEMs are realizing that they can do a better margins by not producing affordable cars in the future. And it has also to do with safety regulations, with emissions regulations, which are very, very expensive to them to comply with and that makes – the affordable car less interesting for them if there is no margin left. So that is probably something that we will see in the future how this evolves, but I see a..
Maximo Vedoya: No. I don’t – No, I totally agree with you. But I am not seeing that trend. I think that some of the OEMs are going to produce affordable cars. I mean there is a demand and somebody is going to do. If you see what Tesla is doing, I mean, they want to do -- they want to do, of course, the high-margin cars, a Model X. Model S, but Model 3 and the new one that they are talking about, they are much less expensive cars. And they are much more steel usage on the other side. But somebody is going to build the demand. I mean the world is needing the less -- the more affordable cars also.
Alfonso Salazar: I totally agree with you. I'm just concerned that it's going to be Asian brands and Chinese brands coming which are going to get that a good part of that might do. But we'll see how things will turn. Thank you, Maximo.
Maximo Vedoya: Also, it could be Alfonso, but they need to use steel, melt it and pour in the naphtha to be USMCA compliance. So I mean customers, if we have Chinese, we have American, we have Japanese, for us they are our customers.
Alfonso Salazar: That's a good point. Thank you so much, Maximo.
Operator: Your next question is from the line of Caio Greiner with BTG Pactual.
Caio Greiner: Hello. Good morning, everyone. Thank you. Just two quick questions from my. First one, the situation in Argentina. I mean, we've seen some companies with operations in Argentina reporting, what could be seen as unsustainably high results largely because of the large gap between the official and the unofficial foreign exchange. So just two points here. And I know it's mostly on the consumer side. So I just wanted to check with you what kind of impact could we expect from this going forward to -- for Ternium on an accounting perspective, if we should be aware of anything that's going to be coming up for the third quarter or anything that we could have seen in the second quarter as well? And the second point, what kind of impact have you guys been sensing to steel demand in the country? I mean, have you seen any slowdown from your customers or anything that we should be on alert for? And the second point here, just a follow-up to a previous question on Pesqueria. I do remember that in the last conference call, I think Maximo mentioned that you guys expected to see incremental shipments, especially from Pesqueria, but for the Mexico division for the Mexico geography to be around 1 million tons for 2022. I just wanted to check, if that's still the case where you guys have been looking at? Because I mean, you guys have been saying that commercial markets have been slow and certification process takes around 1 year, so we might not see that for in 2022. So just wanted to check if we can get an updated estimate for that for those incremental volumes for Mexico and even if you guys have anything for 2023 as well, that could be helpful? Thank you.
Maximo Vedoya: Okay. Thank you very much, Caio. I'll start with the second part of the Argentinian question, and I'll let Pablo talk about accounting your first part. The impact on the market. As I said before, we are not seeing yet any impact in the market. I mean shipments from Ternium Argentina and steel demand is still at the same level as last quarter and the quarter before, I mean, it has been very stable and at very good levels, to be honest. Having said this, I mean, today, it is important they the new Minister of Economy is going to speak about the new economic plan. And as I said in my initial remarks, the macroeconomic situation is very complicated. So we think that at the end, there is going to be an affection to the demand in Argentina. When it's coming, we are not -- I am not able yet to say. But again, today, we see very stable. Our orders are very good and our customers are selling everything, to be honest. So we are very cautious -- in spite of that, we are very cautious. Pablo, why don't you have the accounting part.
Pablo Brizzio: Okay. Okay. Caio, how are you? So let me try first to answer your question in periodical way, and then we can enter into what's happening to Ternium. If, as you said, especially in some -- let's say, customers or companies that are working in Argentina more in the retail side are able to buy the official exchange rate and putting prices more related to the, let's say, the financial expert, clearly, there will be an expanded margin. So this could be the case of some companies that you have been talking to. This is not our case. We use the official exonerate, which is, by the way, the only central you can use to have the numbers both in selling our products and in buying our product. So we have been buying all our raw materials. And as you know, that -- in Argentina imported using the official exonerate and similarly, in the case of our sales in the market. So we have not that specific situation. In any case and as you mentioned, if there is a devaluation, usually evaluation helped initially to increase a little bit profitability because the value the part that is not dollar denominated in our case in Ternium Argentina, around 30% of our cost is especially denominated, you have -- then you have a possible gain in relationship to that. But also, and as also Maximo mentioned this in the first part of answering your question, the uncertainty and the new plan or the consequences of the situation that we have today in Argentina that you consider that a positive solution would be to adjust the expenditure in the country and other things to control inflation could have an impact on volumes or demand in the market. So, a very uncertain situation at the moment. And we need to wait until towards -- or will be the announcement of today. And then we will probably have a clarity on that. But going back to the middle part of your question is not something that is impacting Ternium today.
Maximo Vedoya: Well, I go to the Pesqueria question and the incremental shipment Caio. And you're right. We said in the past, I think it was last year when we put, I think, it was a conference call in November of last year when we were ramping up the Pesqueria project. And to be clear, we are not going to achieve that objective that we put in that conference call. I think there are two things. One is all these huge imports that came at the end of last year, we were not expecting that. And that was in the stock for the first part of this year.  The second point is that, clearly, the commercial market is worse than what we expected. I mean, if you see the construction of the infrastructure, GDP in Mexico continue declining, although Mexico is growing as a whole in the country. So those two things we didn't expect. The certification process is something normal that we had into account. But we were hoping to ramp up production to go first, the commercial market and to substitute these imports that were coming where we didn't have any capacity in the middle of last year to go. So that is the -- so -- but the volume of the Pesqueria plant, today, the production is in line with the production. I mean the Pesqueria hot strip mill is running exactly as we projected. The problem is the Churubusco facility, which, of course, is an older facility. So we are not producing there at the capacity we did expect. 2023, I think -- the volume will be there. I think that the certification, part of that is going to be ready in 2023. So we are going to see incremental volumes from the industrial customers. The question is, if the commercial market is going to react, if construction infrastructure in Mexico is going to grow, and that's a big if. I think it will, but we have to see that in the coming months.
Caio Greiner: Thank you, very much Maximo and Pablo. Just to get a sense from you, do you guys expect any kind of increase in terms of shipments for Mexico this year? And could you maybe provide a guidance for 2023, an expectation that you guys are currently working with, or is that still too far away to say anything? Thank you.
Maximo Vedoya: I think, given the uncertainty of the moment of the world economy, not of the steel business, I think talking about 2023, it's a little bit early today. We have our own projections, but they are internal ones. Of course, they are growing. But to say a number publicly, I think we should wait a little bit more. I don't see any increase in 2022 or a little bit increase in 2022 in Mexico.
Caio Greiner: Thank you, very much gentlemen.
Maximo Vedoya: You’re welcome, Caio.
Operator: The next question is from the line of Thiago Lofiego with Bradesco BBI.
Thiago Lofiego: Thank you. Maximo, just a quick follow-up on -- still on Pesqueria and on Mexico volumes, so the first question is, if we see a more adverse scenario in 2023 and considering you have all of the certifications you mentioned, are you going to prioritize Pesqueria volumes over other sites, given its lower costs or better margins? Does it make sense to think that way? And then the second question, specifically about the construction sector, which you expressed caution there. You also mentioned that you see the inventory levels relatively low and you expect some restocking to support volumes in the second half. So, can you talk a little bit more about that? And also, about underlying demand, right? So beyond this restocking, how do you see construction activity evolving in the next six to 12 months in Mexico? What are the key drivers that you're basically following for this bucket? Thank you.
Maximo Vedoya: Okay. Perfect, Thiago. Thank you for your question. Volume, we are prioritizing Pesqueria. We are doing that today, and we are going to continue I mean the first mill is Pesqueria [ph], the second is the Guerrero plant mill or the first is the minimal and Pesqueria, those are at full capacity today at 85, but is the ramp-up curve we had to be honest. So, the one that we are not realizing is Churubusco. That's the one that is going to take more or less volume according to the demand. So that's -- that's the point. The construction industry, I mean, there are three drivers, 2.5 drivers. The first driver is infrastructure. Infrastructure is not good. I mean, in Mexico. I don't expect that to improve in the near future. The second is construction of residential homes and buildings of the private sector. It's also going down the last couple of years, to be honest. But I do think that in some point, that's going to make a turn. When? It’s hard to say, but I think that you are seeing more people looking for increase in permits and trying to see if the new projects Again, it will take some months to see, if this is really going to comment. The third one is the industrial side, I mean, the construction of industrial sites, that's the only one that is doing very, very well in Mexico. I mean, the thing that we talked a lot in this conference call about near-shoring, all the north of Mexico is having a boom in building these industrial facilities. The industrial parks are building very much, all our customers and ourselves that we have a building unit or our customers that make structure for this industrial business, they have a backlog of several months, some say even at one year. So that's the only thing that is really increasing in Mexico, which is a very good news because those facilities that are coming. Some of them are going to consume steel in the future. They are customers of us, some of them. So – but the other two are not so working, Thiago. So I think that is the main issue in Mexico. Inventories, as I said, in the distribution, I think they are low they are low because of prices. I mean, prices started to decrease and they stop, they stop buying. I think they have to do some restocking, if not in the third – in the fourth quarter, I think – I mean, we think that that's what is going to happen. But again, it's not going to change a lot the volumes, I think. I mean, the main issue is construction really start moving not only in industrial buildings, but in private investment and the infrastructure investment. I hope I answered your question, Thiago.
Thiago Lofiego: Yes. Very, very clear, Maximo. Thank you.
Operator: Your next question is from the line of Caio Ribeiro with Bank of America.
Caio Ribeiro: Yes. Hi. Good morning, everyone. Thanks for the opportunity. So I have two questions here. The first, going back to your upstream slab capacity expansion plans in Mexico. I was just wondering, if you could look to also expand your iron ore production as well, And also, feed into that additional upstream capacity. And the second question, in terms of pricing for US HRC in the US after that correction with prices near $800 to $900 per short ton, do you feel that we're near a bottom right now? And after that correction, have you started noticing your bids for your volume starting to pick up? Thank you, gentlemen.
Maximo Vedoya: Yeah, good question Yeah. Thank you, Ciao. Good questions. We are not seeing – I mean, although we are analyzing our iron ore facilities, and we are always looking for new projects with our reserves. I mean, we are far away from saying that we are going to open or have a new iron ore facility for the new upstream capacity. We are going – probably what we are seeing is that we are going to buy iron ore for that facility. I agree with you. I mean, I think – I mean, it's very hard to say, but because it can take a little bit – some months more. But I think we are near the bottom, for sure. In hot-rolled – hot-rolling prices in the US and we are seeing that with our sales in the US. To be honest, in the last couple of weeks, we have more – much more inquiries. People are trying to buy future -- price future, although they are not indicative of anything. But they are higher than the actual price that we have today. So I think that, as I said, demand in industrial customers and in construction in the US, is still very healthy. I mean, although everybody is talking about recession, I mean, still the month is very healthy there. Industrial demand is very healthy. Near shoring is also happening in the US, I mean we see this both sides of the border, what -- I talk about construction. So I think that, again, prices are coming to a bottom in some part of the month -- in the next month, and we are going to see rebound or at least that they stay steady there. This is our vision, to be honest.
Caio Ribeiro: Perfect. Thank you very much, Maximo.
Operator: Your next question is from the line of James Spies [ph] with Morgan Stanley.
Q – Unidentified Analyst: Yes. Hello. Thank you for taking my questions. I just wanted to ask on working capital. You had a large really large use of working capital this quarter. And if you could give any color on how you see that evolving throughout the rest of the year, the second half of the year considering or assuming that prices remain relatively stable in terms of raw materials.
A – Maximo Vedoya: Yes. Thank you, Jim. The decrease in working capital, most of the increase is because of the prices, to be honest. There was some increase in some slabs increase as in volume. And we have some increase in Brazil in the PCI carbon. Remember, PCI, we bought it from Russia as 100%, and we have to change and bought and -- we are buying now from Australia. And to be honest, we make higher inventory because we didn't know if the Australian -- the PCI was going to work. But the volume of the working capital part of the increase of the working capital is not that much. I think it accounts for the 10% of increase, mostly was prices. And we see that this was -- is coming down. So the next several -- at least the nexttwo2 quarters, we are going to see a decrease in the working capital.
Q – Unidentified Analyst: Okay. Perfect. Thank you.
Operator: That concludes today's Q&A session for today. I will now hand the call back over to the CEO for any closing remarks.
Maximo Vedoya: Okay. Thank you all very much for participating in the call. As always contact us, if you have any feedback or additional questions. And I hope to talk to everyone in the next conference call. Goodbye. Thank you.
Operator: This concludes today's call. Thank you for joining. You may now disconnect.